Operator: Ladies and gentlemen, hello, and welcome to the Bnode Fourth Quarter 2025 Analyst Conference Call. On today's call, we have Mr. Chris Peeters, CEO; and Mr. Philippe Dartienne, CFO. Please note, this call is being recorded. [Operator Instructions] I will now hand over to your host, Mr. Chris Peeters, CEO, to begin today's conference. Please go ahead, sir.
Chris Peeters: Thank you, and good morning, ladies and gentlemen. Welcome to all of you, and thank you for joining us. Today, I will be presenting our fourth quarter and full year 2025 results as CEO of Bnode. With me, I have Philippe Dartienne, our CFO; as well as Antoine Lebecq from Investor Relations. We posted the materials on our website this morning. We will walk you through the presentation, and we'll then take your questions. As always, two questions each, would ensure everyone gets the chance to be addressed in the upcoming hour. Let's get to the highlights of the full year results, and Philippe will then walk you through our fourth quarter '25 results. On Page 3, you can see that Bnode, as we are now called, and I will come back to this in a few minutes, delivered results at the upper end of the EUR 150 million to EUR 180 million EBIT, guidance range that we set at the same time last year and progressively derisked quarter-after-quarter. Despite pressure on top line development, we delivered an EBIT of EUR 179.7 million, while at the same time, remaining fully committed to the transformation of our business. At bpost as anticipated, top line decreased by around EUR 90 million. Mail and Press revenues declined by approximately EUR 100 million, reflecting both the accelerating structural volume erosion and the base effect as 2024 still included 6 months of the Press concession. On the Parcel side, revenue increased slightly by around EUR 10 million as our volume growth was limited to 2%, notably impacted by the strikes actions we faced during the year. In response to these challenges, we progressed on important cost measures, particularly through operational reorganizations and a reduction of around 4% in FTEs. The full impact of these actions were mainly visible in the last 2 quarters of the year. EBIT came in at EUR 67 million, down 50% year-on-year. The decline was primarily concentrated in the first half, reflecting the scope impact of the Press concession, while performance roughly stabilized in the second half of the year. At Paxon, top line growth was primarily driven by the continued expansion of our European activities and even more significantly by the consolidation of Staci. This positive momentum was, however, largely offset by a 21% revenue decline at North America. As announced last year, Radial faced the departure of several major clients. Since then, we have been actively addressing this through a progressive reshaping of the customer portfolio towards the midsized segment. At the same time, we maintained a strong focus on productivity with Radial, once again, delivering substantial cost savings. Supported by the contribution from Staci, EBIT increased slightly by EUR 7 million year-on-year, reaching just under EUR 59 million. At Landmark Global, our U.S. business was as expected, impacted by tariff measures. Nevertheless, top line posted slight growth overall. This was supported by sustained activity in Canada and most importantly strong momentum in Asian volumes across all key destinations, including, of course, Belgium, which is particularly accretive from an EBIT standpoint. Combined with continued productivity gains, notably true or Transport Center of Excellence, this enabled us to increase EBIT to EUR 85 million. Let me make one final remark on our financial highlights. As you can see, on a reported basis, the group recorded a net loss of EUR 39 million, in line with the dividend policy reaffirmed at our Capital Markets Day in June. And with no change to that framework, the Board of Directors will recommend to the general meeting in May, not to distribute a dividend this year. This reported net loss is primarily explained by one-off costs recognized at Radial North America, Philippe will elaborate on this in a moment. But before handing over, I would like to briefly reflect on our key strategic priorities in 2025 and how they continue to shape our transformation journey. In 2025, our transformation gathered significant momentum across Bnode, delivering tangible results and reaffirming the strength of our strategic direction. We restructured and strengthened the Bnode Executive Committee with a new CEO for Paxon North America and Paxon Europe as well as the people's management committee, including Group CEO and four members of the Group Executive Committee to accelerate strategy execution and better address emerging challenges. We simplified the group brand architecture, moving from 31 brands to a clear 4-brand structure, bringing consistency and focus fully aligned with the group strategic repositioning. At bpost, we made the operating model shift accelerated the transformation of our Belgian operating model across multiple tracks, including bulk rounds, now fully operational in all sorting centers, centralized preparation of Mail rounds and the reorganization of 138 distribution offices to adapt the cost base to new volumes, among others, due to lower Press volumes. We also developed Out-of-Home at scale, expanded the locker network at record pace, reaching 2,500 bbox installations driving a 50% growth in locker volume in 2025. We also successfully launched Night Bbox Delivery, enabling time-critical deliveries before 7:00 a.m. with early phase pilots underway in the omnichannel segment. At the retail network, we strengthened the strategic relevance and commercial contribution of our retail network by expanding multiple partnerships in among others, telco, utilities and banking, while reinforcing our societal inclusion role. For Paxon, we continue to transition to mid-market client portfolio driven by the successful launch of Fast Track offering rapid and seamless integration with existing systems with 22 Fast Track clients onboarded, representing EUR 38 million of in-year revenue. We also successfully integrated Staci into our new Paxon organization. We established an integrated country structure across Staci, Radial Europe and Active Ants, paving the way for accelerated commercial development and we exceeded the initial cost synergies target with the 2026 target already secured. And for Landmark Global, we achieved strong progress in leveraging group-wide capabilities, notably through the introduction of a Transport Center of Excellence, realizing EUR 50 million of group-wide savings in 2025. Staci transport synergies, Last Mile group contracts, et cetera, are included in this. And in terms of market resilience, we demonstrated the ability to navigate an increasingly complex trade environment including rapidly involving trade tariffs, while maintaining operational stability and commercial momentum. I will now hand over to Philippe for the quarterly results, and I will then take the floor to share with you our strategic priorities for 2026 and the financial outlook.
Philippe Dartienne: Thank you, Chris, and good morning to all. As you can see on the highlights on Page 5, our group operating income for the fourth quarter came at EUR 1.242 billion, a decrease of EUR 93 million or 7% year-on-year. This performance reflects a combination of factors. As expected, we saw the impact of contract terminations at Radial U.S., which we already flagged earlier this year. This termination materialized through the quarter and drove a 20% revenue decline year-on-year on EUR 82 million, largely offsetting the 4% top line growth at Paxon Europe. In parallel, the 9.2% decline -- 9.2% decline in domestic Mail volume, excluding Press which was only partially compensated by close to 3% Parcel growth volume in Belgium. Note that Parcel volumes were impacted by several national strikes in October and November. In terms of cross-border activities, we also recorded higher Asian inbound volumes, which supported overall Parcel growth. Overall, while our top line remained under pressure, we continue to adapt our cost base effectively, sorry. As a result, group adjusted EBIT reached EUR 83 million, broadly in line with last year. This outcome reflects the positive effect of our reorganization measures and improve peak efficiency at bpost as well as margin actions at Paxon U.S. Before turning to the financial performance of our business units, let me highlight, as shown on Slide 6, that our group reported EBIT stands at EUR 10 million. Beyond the usual PPA adjustment, this mainly reflects the EUR 55 million one-off charges related to the real estate portfolio rationalization and technology stack simplification at Radial U.S., in line with maximize the core initiative presented to you at the Capital Market Day in June. Let's move now to the details of our three segments. I'm on Page 7. With the bpost segment previously Last Mile. We see that the revenue declined by EUR 70 million to EUR 574 million. Domestic Mail recorded around EUR 17 million decline in revenue, of which EUR 11 million stemmed from transactional and advertising mails and EUR 5 million from Press. Excluding Press, Mail volumes contracted by 9.2% in the quarter compared to 8.1% same quarter last year. The decline in Mail volumes had a negative revenue impact of around EUR 21 million and was partially offset only by half, through positive price and mix effect of plus 4.2% or roughly EUR 10 million. As a result, the Domestic Mail revenue were down 4.9% or EUR 11 million year-over-year. Note that on a full year basis, this Mail volume declined by 9.8% at the upper end of our guidance and was mitigated by a price/mix impact of plus 4.3%. Our Parcels revenue increased by EUR 3 million or plus 1.7% year-over-year, driven by volume growth of close to 3% and a slightly negative price/mix effect of 1.2% in the quarter. On the volume side, the reported 9.2% actually correspond to an average daily growth of plus 1.3% and include a shortfall of just under 1% due to national strike that took place in Belgium in October and November. Over the past months, and particularly during the peak, growth was mainly supported by strong performance of marketplaces, which also contribute to our negative price/mix impact of about 1.2%. For the full year, our average daily volume grew by 2.4% despite the negative impact of the fourth quarter strike and more importantly, the bpost strike in February during which a significant share of volume shifted temporarily to competitors. These disruptions resulted in our overall volume shortfall of a bit more than 1% for the year. Excluding this impact, our volume would have landed at the low end of our annual volume guidance. Revenue from our other activities, including Retail, Value Added Services and Personalize Logistics decreased by 3% year-over-year, notably with lower revenue from fine solutions partially offset by higher revenues at DynaGroup. Let's move to the P&L of bpost on Page 8. Including the higher intersegment revenue from inbound cross-border volumes handled in the domestic network, our total operating income was down by 2.3% or EUR 14 million. On the cost side, OpEx and D&A decreased by 2.7% or EUR 16 million, mainly driven by two effects: lower staffing with FTEs and interims down 5%, reflecting improved peak efficiency and lower volumes. The benefit from the ongoing reorganization of our distribution rounds and retail offices implemented over the previous quarters and which ultimately concluded in line with annual plan target despite delays accumulated until June due to strikes. And on the other hand, higher salary cost per FTE up plus 2% following March '25 salary indexation. In contrast with the first half of the year, when EBIT had contracted sharply by almost EUR 64 million year-on-year, mainly due to the end of the Press concession in June '24, we see now that despite the structural Mail decline, Parcel growth and the benefits of our organization are helping to mitigate EBIT erosion. EBIT decline was limited to EUR 3 million in the second half of the year and even showed a slight improvement in this fourth quarter. I would like to highlight that our peak efficiency improved not only versus last year, but for the first time ever also versus the full year run rate. Moving on to Paxon, previously, 3PL, on Page 9. In terms of Paxon revenues, two effects came into play. First one, at Paxon Europe, revenue remained broadly stable year-over-year, while we recorded around 4% growth this quarter across European businesses and geographies, with some activities even achieving high single-digit growth. We also felt the negative impact at Staci Americas, which is reported on the Paxon Europe, where a contract termination led to a significant revenue decline during the quarter. At Paxon North America, revenues decreased by EUR 82 million. At constant exchange rate, this represents a 20% decline, driven by revenue churn from contract termination announced in '24 and '25. Mid-single-digit negative same-store sale and partially offset by the in-year contribution of a bit less than EUR 30 million from new customers of which 60% relating to Radial, Fast-Track clients. As expected, despite seeing positive and encouraging seniors on that front, we continue to feel the impact of the churn announced in '24 and '25. We remain focused on executing our plans and we are confident that the ongoing stretch to core actions presented at the Capital Markets Day, expanding into, as Chris said it, new industries, client size and channel and strengthening our portfolio will deliver the intended benefits. Let's move to the P&L of Paxon on Slide 10. With this total operating income decreased by 14.4% or EUR 82 million, while operating expense and D&A decreased by 13.2% or EUR 69 million. The reduction was primarily in North America, driven by lower variable OpEx in line with revenue evolution at Radial U.S. and sustained variable contribution margin. As a result, adjusted EBIT decreased by EUR 13 million to EUR 33 million in the quarter. This was mainly due to the outgoing top line pressure at Radial U.S. and to some extent, at Staci Americas to temporary productivity issues and an IT incident. Note that Radial U.S. reached another record high margin during the peak season. And on a full year basis, Radial U.S. continued focus on productivity improvement delivered a 2% increase in variable contribution margin, equivalent to our cumulative benefits of EUR 16 million. Looking at our reported EBIT of minus EUR 35 million, this reflects the EUR 55 million one-off charge related to the real estate portfolio rationalization and the technology stack simplification, at Radial U.S. I've mentioned earlier in the call, this is being totally in line with "Maximize the Core" initiative presented at our Capital Markets Day in June. Moving on to Landmark Global, previously Cross-Border, on Page 11. Landmark Europe revenues increased by EUR 4 million or 4% year-over-year. This growth was driven by a solid volume increase from China across all major destinations, notably Belgium fueled by large Chinese platforms and U.S. Other European lanes continue to grow well with the exception of U.K. where adverse market conditions remain. At Landmark North America, we continue to face volume headwinds, while the broader tariff environment is weighing on existing business and delaying new opportunities. However, this was offset by strong domestic volume growth in Canada and a strong peak period resulting at North America level in a high single-digit percentage growth in revenue, equivalent to 0.5% increase or EUR 0.4 million increase in euro, when including the negative FX impact development. Overall, our Landmark Global operating income increased by roughly EUR 7 million or 3.9%. As shown on Page 12, OpEx and D&A increased at the same time by 3.1%, mainly reflecting higher transportation costs, driven by volume growth partially offset by lower rates on the new transport contracts. This links back to the Transport Center of Excellence that we presented at the Capital Markets Day. And from which we are now seeing tangible benefits across our various business units. Adjusted EBIT increased slightly to just under EUR 26 million. And the productivity gains across the board resulted in margin improvement compared to last year. Moving on to the Corporate segment on Page 13. Adjusted EBIT continued to improve as cost control measures on third-party and expand services as well as facility management initiatives helped offset higher payroll costs driven by additional FTEs in the March '25 salary indexation. This quarter also benefited from a one-off favorable impact from operational taxes. And as a result, our adjusted EBIT improved by EUR 7 million to minus EUR 2 million. Let's now move to the cash flow on Slide 14. The net cash inflow from the quarter amounted to EUR 35 million compared with EUR 118 million last year, mainly reflecting the variation in working capital and higher coupons on the bonds. Overall, the main items to highlight are the following: cash flow from operating activities before changing working capital stood at EUR 149 million, a decrease of EUR 11 million versus last year, mainly driven by lower EBITDA and lower corporate tax payment. Change in working capital and provisions amounted to EUR 57 million, the negative EUR 39 million variance year-on-year reflect the termination of the Press concession in June last year as well as some lower suppliers balances. The net cash outflow from investing activities totaled EUR 61 million, driven by CapEx for parcels, lockers and capacity expansion, our domestic fleet and international e-commerce logistics. Note that on a full year basis, CapEx amounted to EUR 147 million, below our initial guidance of EUR 180 million, reflecting disciplined spending behavior. This constitutes the main variation in our free cash flow and the net cash outflow from financing activities amounted to EUR 110 million, mainly reflecting higher lease liabilities payment and higher bond coupons linked to the EUR 1 billion bond issuance in November 2024. Chris, this brings us now to the strategic priorities of '26 and our financial outlook.
Chris Peeters: Thank you, Philippe. As we move in 2026, the focus shifts from piloting to scaling. Accelerating what works, executing with discipline and embedding successes structurally. For bpost, that means that the operating model will further shift to accelerate the transition towards a 24/7 logistics company. This includes the structural embedding of efficiencies and flexibilization levers. For example, the dual density rounds or the delayed curve that we will do. At the Out-of-Home, we will further scale, expand the network coverage of 3,400 Bboxes installed and doubling the parcels delivered via lockers. We will continue to pilot and scale promising B2B services in omnichannels and for technicians. And also, we will negotiate an agreement for the Retail network with the Belgian state and entering into force as of January 2027. For Paxon in North America, we will leverage and scale the proven Fast Track solution to deepen our presence in the mid-market segment. And for Europe, we will capitalize on the integrated country structure to accelerate up and cross-selling, improving asset utilization and driving commercial growth. For Landmark Global, we will drive the full utilization of the Transport Center of Excellence, ensuring group-wide efficiencies and boosting profitable growth in a scale-driven market. And for the market, we will leverage our ability to navigate trade complexity to better support clients in managing cross-border complexity and evolving tariff dynamics. These strategic priorities lead me to our outlook for 2026. I'm on Page 16 now. We are engaged in a profound transformation of our group and the strategic shift we have initiated is a multi-year journey. 2026 will be another important step in that transition. At a high level, the continued acceleration of our international logistics activity is expected to be the main driver of EBIT growth at group level. At the same time, in our historical Belgian operation, we will remain focused on mitigating the structural mail decline, while further advancing our operational shift toward a more parcel-centric model. Overall, at group level, we are targeting an adjusted EBIT in the range of EUR 165 million to EUR 195 million for 2026. For Paxon, we expect total operating income to grow in the low to mid-single-digit range in 2026. While in Europe, we anticipate mid- to high single-digit growth, supported by continued commercial momentum and further leveraging of our integrated logistics capabilities. In North America, the ongoing portfolio shift towards the midsize segment, notably through our Fast Track initiatives should offset the impact of customer share. On profitability, we expect an EBIT margin increase from 3.5% in 2025 to between 6% and 8% in 2026. This uplift will be driven by the combined strength of our new regional setup, realization of cost synergies and continued real estate optimization. Then we turn to Landmark Global, where we are targeting a mid-single-digit top line growth for 2026. In Eurasia, momentum remained strong in our commercial activities, particularly driven by Asian volumes, while Postal volumes are expected to remain resilient. In North America, growth should be more moderate. Market overcapacity continues to intensify competition and the uncertainty surrounding tariff measures is creating limited visibility and implied pressures on flows to and from the U.S. across most lanes. In terms of profitability, the evolving business mix with a lower contribution from Postal and a higher share of commercial volumes is likely to weigh on margins leading to an expected EBIT margin in the range of 10% to 12%. Finally, regarding bpost, we anticipate a low single-digit decline in revenue in 2026. This mainly reflects three factors: first, Mail volumes are expected to decline in the mid-teens range, while this will be partly mitigated by a favorable price/mix effect of around 5%, 6%, structural volume erosion remained significant. As you observed in 2025, decline already accelerated, reaching around 10% at the upper end of our 8% to 10% guidance range. In 2026, we will also face the full impact of mandatory B2B e-invoicing in Belgium as well as the loss of certain advertising contracts. Second, on the Parcel side, volumes should grow in the mid- to high single-digit range, primarily driven by large customers. As a result, despite the usual price adjustments, the overall price/mix is expected to remain broadly stable. In addition, as discussed during our Capital Markets Day, we will see the full year revenue impact from the loss of the 679 banking contract which was retendered and transferred to BNP Paribas Fortis as of January 1. From a profitability perspective, this marks another year of revenue contraction, which will inevitably put pressure on margins. That said, we remain fully focused on aligning our cost base notably true, intensified distribution around reorganizations and further productivity gains. Altogether, this should translate into an EBIT margin of around 1% in 2026. We are now ready to take your questions. Again, two questions each, please, so that everyone gets the chance to be addressed during the session. Operator, please open the lines.
Operator: [Operator Instructions] The next question comes from Michiel Declercq from KBC Securities.
Michiel Declercq: I had some questions on the 3PL or the Paxon business. First on profitability, a bit lower than what you guided for, for the start of the year. I was just wondering, can you give a bit more color on the temporary productivity issues and the IT incident at Staci in the Americas? And maybe quantify this and maybe also looking at the margins of Staci, are we still in the 10% to 12% range there? That would be a bit my first question. Then secondly, would also be on the 3PL Europe, you guide for mid- to high single-digit growth in 2026. Looking at the fourth quarter, it was flat, you had, of course, a customer loss and some headwinds at Staci Americas. But I would expect this also to somewhat continue in 2027. So I'm just wondering where will this step up from a flat growth in the EU in Q4 to mid- to high single digits in '26 come from? Can you -- do you see some reassuring trends there? Or just a bit more color on that, please?
Chris Peeters: Do you take the first?
Philippe Dartienne: Yes. I'll take the first one. Thank you, Michiel, for the question. Very, very, very interesting question indeed. When it comes to Paxon profitability as a whole, we are impacted by -- mostly impacted by the loss of customers that we faced at -- from Radial, as we mentioned it. Despite the fact that they have been able to maintain the variable contribution margin, even a slight improvement year-over-year. Nevertheless, in absolute value, indeed, it weighed on the EBIT generation. When it comes to Paxon Europe, so the -- what I would say is that we have a profitability at the level of Paxon Europe so mostly from -- resulting from the acquisition of Staci. We always guided in the range of 10% to 12%. And in '25, we nearly reached the bottom end of the range. Why do I say nearly very close to, which is mainly explained by the fact that we had an IT incident in the U.S. that weighted on the profitability.
Chris Peeters: And on the second question, so if you look at the Staci growth, you see indeed that there was a bit of a slowdown due to a combination of economic circumstances, mainly in France and the U.K. last year and also probably a focus, which was on the integration and the setup of the new structure. Now we have a team fully dedicated to developing the top line. And what we see there is that we have, especially around cross-sell and up-sell on these clients. And when we talk about cross-sell, it's both geographical, but also in other product ranges. And up-sell where we see that we expand our services within the same service line with those same clients, we see that we have an attractive pipeline on which we feel comfortable that, that growth is a feasible figure.
Michiel Declercq: Okay. Clear. Maybe a quick follow-up, if I may. If I then plug in the guidance for the growth in the EU also for Paxon business, is it then fair to assume that growth in the U.S. or in North America, Radial North America will be flat? And if so, can you maybe give a bit more color on the phasing there?
Chris Peeters: Yes. Indeed, growth in the U.S. will be flat. It's the effect of the historic client losses that we see to have a full impact. And obviously, if you see, although we see a ramp-up at the Fast Track side. These are substantially smaller clients, meaning that you need a lot of more onboarding to compensate for the loss of a large client. And so that effect of clients that were shared -- was already announced for the non-renewal of contracts that we will have the impact from gets compensated by new mid-market clients, but the one is balancing out the other.
Philippe Dartienne: If you allow me to add one element, Chris, also what we are seeing in terms of evolution of same-store sales, so on existing customers, we are still believing that we will be in negative territories in '26 compared to '25.
Chris Peeters: Which is again an effect of that historic portfolio of, let's say, older brands that are more in decline than the overall market.
Operator: The next question comes from Frank Claassen from Degroof Petercam.
Frank Claassen: Two questions, please. First of all, on the transfer of the 679 banking contract, could you help us how much revenue would that roughly be? That's my first question. And then second, on the corporate cost line, you indicate that it will go up some -- or will have the negative EUR 35 million delta in '26. That's quite a step-up. Could you elaborate what kind of investments or costs you're going to make on that corporate cost line?
Chris Peeters: So on 679 -- thanks for the question, Frank. We'll -- we don't use to disclose individual contracts, neither the profitability. So we will not do it for the 679. But this being said, you know that the contribution of this contract was solid, very solid. So it's weighing on the profitability. When it comes to corporate, it's -- in fact, we are adding some resources very limited compared to the '25 situation. And those resources are geared towards supporting the transformation initiative. They are hosted at the level of corporate, but they benefit to the integrity of the group. So they are, in fact, also the natural evolution of the cost base, which -- because those corporate costs are mostly people-related costs. And we expect also to have, as we mentioned for BeNe Last Mile, we also expect to have a one step of inflation of 2% and that helps explaining the evolution of the corporate cost.
Operator: The next question comes from Henk Slotboom from the IDEA!
Henk Slotboom: Chris, Antoine and Philippe. A few questions about the bpost division. I'm a bit surprised about the Parcel growth you indicate for the current year. Last year, it was 2.9%. There was a 0.7% negative impact of the strikes you experienced. Now you're aiming for mid- to high single-digit growth. I assume you must have had a good start of the year. But at the same time, there are some things happening in the Middle East which could spur inflation again and weigh on consumer confidence. How do you look at that, Chris?
Chris Peeters: So on the Parcel growth, I think the fact that you see in the terms of growth of last year, main mainly the effect of a little bit lower growth fix has to do with the strike impact of which we have two major events, one in the early part of the year with a quite significant impact. As you know, we had a couple of days of non-operation and a blocking of our sorting center that had quite an important impact in number of parcels. And while we could mitigate last minute to a large extent, the national strike against the government in the end period. Some of our clients took at that moment of time, whether it was late at already the batches to have some of those volumes deviated. And so there, you see two elements where you have some volume leakage as a result of the strike. That being said, if we look at the start of the year, well, as always, at the start of the year is a -- is not the most relevant period. But if we see in terms of client development and contract conversion, we are on a positive flow. And so we expect, in that perspective, a good year. If we look at the impact of what we see in Middle East. I think, there's very little, let's say, direct flow from us from that side with some Postal flows, but they're quite limited. 12 countries are blocked in terms of Postal flow, but that's a financially a very minor impact on our total volume. We don't see today a reduction on the Chinese flows. Obviously, I agree with you. If there is an impact on consumer behavior likely you will see some impact on the overall spend. Still, what we've seen in the last times when that was happening was that there was a further shift towards the products which are available within the e-commerce space. And so that is something where we don't expect that there will be a massive impact on the year.
Henk Slotboom: Then on the Mail volume, Chris, we have a shock-wise decrease this year, partly because of the loss of some advertising clients and the introduction of e-invoicing in Belgium, especially the latter impact. Do you think that this will mitigate the decrease in Mail volumes as of 2027 when this has been absorbed?
Chris Peeters: I don't understand the question, to be honest. Can you repeat the question?
Henk Slotboom: Well, if this year was the introduction of e-invoicing, if I'm correct, in Belgium. So that means that you have a shock-wise decrease in volumes, paper invoices being replaced by electronic invoices. Normally, I assume that will lead to a lower contraction of transaction Mail volumes in the year thereafter, because there's less left.
Chris Peeters: Yes. I mean, I can understand what you say. But overall, we don't count on that. I think that you've clearly seen that our strategy is now to move as fast as possible towards a parcel-centric operator, and so we want to become a logistical company. You see that, that Mail decline also if we look at comparable countries that were ahead of the curve have mostly had the Nordic countries are ahead of the curve. The Baltic states are also ahead of the curve in that perspective. You see that, that decline continues to be fairly steep also in the end phase of Mail. If you look at the Denmark case still until the last year, you saw a continued steep decline in the Mail business. We see the same happening in the other Nordic countries, which actually are already at a further progressed decline in Mail that we are. And so in our plans, we don't count on that difference anymore. We actually have -- are preparing ourselves for a continued accelerated decline in Mail. And obviously, what we will do as a consequence of that, start to prepare ourselves for the usual discussion, which will be -- we will have a new user as of the 1st of January '28. And so that preparation of discussion is happening now to ensure that our operating model can follow the reality of the volumes that we have to treat.
Operator: [Operator Instructions] Ladies and gentlemen, there are no further questions. So I will hand it back to Chris to conclude today's conference. Thank you.
Chris Peeters: We would like to thank everybody in the call for having taken the time to be with us and for your interesting questions. Please note that we will release our annual report 2025 on April 2nd. We look forward to staying in touch and Philippe will present you our first quarter results on May 6. Thank you very much and have a great day.
Operator: Thanks for participating to the call. You may now disconnect.